Operator: Good morning, ladies and gentlemen, and welcome to the Cooper-Standard Holdings Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. During the presentation, following company prepared comments, we will conduct a question and answer session. At that time, if you have a question, you will need to press 11 on your telephone keypad. To withdraw your question, as a reminder, this conference call is being recorded and the webcast will be available for replay later today. I will now turn the conference call over to Roger Hendriksen, Director of Investor Relations.
Roger Hendriksen: Thank you, Jenny, and good morning, everyone. We appreciate your continued interest in Cooper-Standard Holdings Inc., and we thank you for taking the time to join our call today. The members of our leadership team who will be speaking with you on the call this morning are Jeffrey S. Edwards, chairman and chief executive officer, and Jonathan P. Banas, executive vice president and chief financial officer. Before we begin, I need to remind you that this presentation contains forward-looking statements. While these statements are made based on current factual information and certain assumptions and plans that management currently believes to be reasonable, these statements do involve risks and uncertainties. For more information on forward-looking statements, we ask that you refer to Slide 3 of this presentation and the company's statements included in periodic filings with the Securities and Exchange Commission. The presentation also contains non-GAAP financial measures. Reconciliations of the non-GAAP financial measures to their most directly comparable GAAP measures are included in the appendix to the presentation. With all of that out of the way, let me turn it over to Jeffrey S. Edwards. Thanks, Roger, and good morning, everyone. We certainly appreciate the
Jeffrey S. Edwards: opportunity to review our fourth quarter and full year 2025 results and provide an update on the outlook for 2026. So let us begin on Slide 5, and I would like to highlight some key data points that are reflective of our continued strong commitment to operational excellence and driving increasing value for our shareholders. In 2025, we continued to deliver world-class results in terms of product quality, program management, and service for our customers. This is reflected by our 99% green product quality scorecards and 98% green program launch scorecards. Even more importantly, we had our best year ever in terms of employee safety. For the full year 2025, our safety incident rate was just 0.24 per 200,000 hours worked, surpassing our previous best from 2024, and well below the world-class benchmark of 0.47. We are especially proud of our 31 plants that completed the year with a perfect safety record of zero reportable incidents. The dedicated teams in these plants continue to affirm that our long-term goal of zero safety incidents is achievable. And as we usually do, a shout-out to our plant managers here. Well done. And we really appreciate their personal commitment to our total safety culture. And for those of you that do not realize, about 85% of our 21,000 employees report into those plant managers. So amazing leadership, and keep up the great work, guys. Next, some more information regarding operations. The combined efficiency improvements in our plants and lean initiatives in our supply chain generated $64 million in cost savings during the year. In addition, we realized $18 million in year-over-year savings primarily related to the salaried reduction action we implemented in 2024. As a result of the increases in operating efficiency and cost savings, we achieved a solid 24% improvement in operating income for the year. We are proud of the way our team was able to respond to and overcome the continued inflationary headwinds we experienced throughout the year and the fourth quarter impact from a customer supply chain disruption that significantly reduced production volumes on one of our top platforms. In addition, we continue to deliver industry-leading world-class service and quality products to our customers. They are definitely rewarding us with additional business. In 2025, we received a total of $298 million in net new business awards, which we expect will support a solid trajectory of profitable growth in future years. So in summary, by many measures, 2025 was our best operational performance in company history. We were pleased to deliver full year results above our original operating plan and at the high end of the updated guidance range we gave you in October, despite the significant production disruption experienced by our top customer on our top vehicle program during the fourth quarter. We expect to continue to build on the successes of 2025 to drive further margin expansion and increasing value for all of our stakeholders in 2026 and beyond. Let us turn to Page 6. None of the achievements I just mentioned would be possible without a world-class culture and commitment to doing business the right way with uncompromised honesty, transparency, and integrity. We were pleased in 2025 to again receive numerous awards for excellence in product quality and customer service, as well as broad recognition for our continued achievements in culture and sustainability. I could not be more proud of our global workforce and their joint commitment to a culture of achievement, excellence, and integrity. And I would like to thank all of our employees and our board of directors for their continued hard work, accomplishments, and support in 2025, and for setting the stage for an even more successful 2026. I will now turn the call over to Jonathan P. Banas to review the details of our fourth quarter and full year financial results. Thanks, Jeff, and good morning, everyone. In the next few slides, I will cover the details of our quarterly and full year financial results, put some context around some of the key items that impacted our earnings, and then provide some color on our cash flow, liquidity, and balance sheet. So let us turn to Slide 8. On Slide 8, we show a summary of our results for the fourth quarter and full year 2025 with comparisons to the prior year periods. Fourth quarter 2025 sales totaled $672 million, an increase of 1.8% versus 2024. The improvement was despite the negative impact from a customer supply chain disruption that significantly reduced production volumes on one of our top platforms. The volume and mix, which is net of customer price adjustments and recoveries, was more than offset by favorable foreign exchange, mainly from the euro. Adjusted EBITDA for the fourth quarter 2025 was $34.9 million, or 5.2% of sales. This compares to $54.3 million, or 8.2% of sales in 2024. The decrease was primarily driven by the short-term industry disruptions impacting volume and mix and efficiencies, as well as inflationary and compensation-related costs year over year. On a U.S. GAAP basis, we generated net income of $3.3 million in the fourth quarter. This included a $45 million deferred tax asset valuation allowance release and $11.5 million in excluding these and other smaller noncash items, we recorded an adjusted net loss of $31 million, or $1.73 per diluted share for 2025, compared to an adjusted net loss of $2.9 million in 2024. For the full year 2025, our sales totaled $2.74 billion, an increase of 0.4% versus 2024. The modest improvement was primarily due to favorable foreign exchange and net customer pricing and recoveries, which served to offset the lost sales related to customer production disruptions and other unfavorable volume and mix that occurred during the year.
Operator: Adjusted EBITDA
Jeffrey S. Edwards: for the full year 2025 came in at $209.7 million compared to $180.7 million for the full year 2024. This result for 2025 was at the high end of our most recent guidance range and in line with the estimates of the analysts who follow us most closely. Improved manufacturing and supply chain efficiencies, especially in the first three quarters of the year, savings from restructuring initiatives, and favorable foreign exchange more than offset the overall impact of weak volume and unfavorable customer price adjustments. On a U.S. GAAP basis, full year net loss significantly improved to $4.2 million from a net loss of $78.7 million in 2024. After adjusting for special items and the related tax impacts, we incurred an adjusted net loss for the year of $30.9 million, or $1.73 per diluted share. This is also a significant improvement when compared to the adjusted net loss of $56.7 million, or $3.23 per diluted share recorded in 2024. From a capital expenditure perspective, we spent $48 million during 2025, or 1.8% of sales, similar to our capital investment level in 2024. We continue to optimize asset utilization throughout the company and focus our spend on customer launch readiness and new business growth. Moving to Slide 9.
Roger Hendriksen: The charts on Slide
Jeffrey S. Edwards: 9 and 10 quantify the significant drivers of the year-over-year changes in our sales and adjusted EBITDA for the fourth quarter and full year, respectively. For sales in the fourth quarter, favorable foreign exchange increased sales by $14 million. This was partially offset by unfavorable volume and mix of $3 million. As mentioned, this category includes the impact of customer disruptions as well as net customer price adjustments and recoveries. In terms of adjusted EBITDA, volume and mix was a net benefit of $4 million in the quarter, as the overall mix of production and net pricing and recoveries in the quarter helped offset the negative impact of customer production disruptions. Manufacturing and purchasing efficiencies drove just $1 million in savings during the quarter, as efficiency was negatively impacted by trap costs and reduced fixed cost absorption levels caused by those customer production disruptions, as well as higher-than-launch volumes on a couple of new programs. Savings from restructuring initiatives resulted in an additional $1 million of cost improvement and a slight tailwind on raw materials amounted to $1 million in the period. These improvements were more than offset by million dollars of general inflation, such as wage and energy cost increases, while the nonrecurrence of some one-off positive items from the prior year and higher incentive compensation expenses year over year combined for the rest of the walk. Moving to Slide 10. For the full year, favorable foreign exchange increased sales by $12 million while unfavorable volume and mix net of customer price adjustments and recoveries reduced sales by $2 million. For full year adjusted EBITDA, $64 million of improved manufacturing and purchasing efficiencies, $18 million of restructuring savings, $10 million of favorable foreign exchange, and $2 million of lower material costs were all positive factors. Offsetting these positive items were $25 million in higher wages and other general inflation, and $17 million in unfavorable volume mix and net customer price adjustments. Other includes a minor amount of tariffs yet to be recovered, just due to timing, higher incentive compensation year over year, increased SG&A primarily due to share price appreciation, and a collection of other smaller items. Moving to Slide 11 and an update on our liquidity and our balance sheet. We were very pleased to end the year with strong free cash flow of $44.6 million in the fourth quarter, and importantly, positive free cash flow for the full year as we indicated we would of $16.3 million. Net cash provided by operating activities in the fourth quarter was $56 million, a decrease of $18 million compared to the same period last year due to the lower cash earnings in the quarter. Capital expenditures were $11.7 million in the quarter as we continue our intense focus on cash preservation and optimizing asset utilization. We ended the year with total liquidity of over $352 million. As of 12/31/2025, we had cash on hand of $191.7 million and an additional $160.9 million of availability on a revolving credit facility which remained undrawn. Based on our current outlook for production volumes and expectations for continued operational efficiencies and margin expansion, we expect that free cash flow in 2026 will again be positive. We believe our current cash on hand, expected future cash generation, and access to flexible credit facilities will provide ample resources to support our ongoing operations, make required interest payments, and execute planned strategic initiatives. Before we wrap up, I wanted to offer some thoughts on managing our debt maturities and how we are looking at our financing options going forward. We have continued to monitor the debt markets and consult with our advisors in anticipation of a potential refinancing of certain of our outstanding debt. We have made significant progress on evaluating potential paths forward. While the timing for the initiation of any refinancing action will be market dependent, we continue to target a refinancing transaction in the near future. That concludes my prepared comments. So let me hand it back over to Jeff. Thanks, John, and to wrap up our discussion this morning, I want to share a few thoughts regarding our outlook for 2026 and why I remain extremely optimistic about our opportunities this year and beyond. If we could move to Slide 13. The first reason for optimism is our continued success in executing our strategic plans, based on the four key strategic imperatives you see on this slide. Since we first defined these imperatives a couple years ago, the alignment and the focus of our teams has enabled us to drive significant improvements in virtually every aspect of our business. And importantly, our operational improvements in our manufacturing facilities and investments in innovation are translating to improved financial results. Turning to Slide 14. The charts on this slide clearly illustrate strong trends in margin expansion and improved cash flow, despite revenue declining due to lower industry production volumes over the past three years. As we have significantly reduced our fixed cost and continue to optimize manufacturing and purchasing efficiencies, we believe we can further accelerate margin expansion as our top line begins to grow. And we believe that both of our product segments are well positioned to grow significantly over the next few years. Turning to Slide 15, the strategy for our Fluid Handling Systems segment looks to unlock the full potential of the organization by expanding geographically in association with key fast-growing customers, leveraging the growth trends in hybrid vehicles to expand content per vehicle, and launching new innovative products and technologies including thermal management solutions and our award-winning EcoFlow family of integrated coolant control products. Please turn to Slide 16. As the global leader, our Sealing Systems strategy is focused on sustaining the operational excellence that has reestablished the financial strength of the business and leveraging global expertise in engineering, design, and manufacturing to drive profitable growth in both our existing and new markets. We are using digital tools and world-class engineering capabilities to make the design and validation process for new products faster and more efficient, supporting our customers in developing markets that tend to have a shorter product development cycle. Paying close attention to the voice of the customer, the Sealing team is quickly bringing additional innovative products and technologies to market that we expect will add value for our customers and enable the company to expand content per vehicle and drive market share gains going forward. Turning to Slide 17. For both of our segments, China represents a key part of our profitable growth strategy. And as you know, Chinese OEMs are expanding aggressively into many global markets and are expected to gain significant market share by 2030. As a key part of our strategy, CPS expects to grow and gain share alongside Chinese OEMs, leveraging our world-class technology and service, and the relationships that we have established over twenty years of operating in China as well as our outstanding locally led team. Currently, Chinese OEMs represent approximately 36% of our revenue in China, while Western OEMs and their joint venture partners represent approximately 60%. Based on the recent new business awards already in hand and developing target business, we expect to grow our business with Chinese OEMs to more than 60% of our revenue by 2030. In addition, given our existing available production capacity, we believe we will be able to scale our business with Chinese OEMs with minimal incremental investment resulting in very favorable returns on invested capital. In the near term, we expect our total revenue attributable to China will grow at a CAGR north of 15% between 2025 and 2028.
Roger Hendriksen: Further,
Jeffrey S. Edwards: to Chinese OEMs globally we currently expect to triple our total sales over the next five years as we support them in their growth within China as well as their expansion into other key markets around the world. Turning to Slide 18.
Roger Hendriksen: Our positive
Jeffrey S. Edwards: outlook for sales growth that exceeds the market is supported by continuing new business awards. I mentioned at the beginning of the call we received nearly $300 million in net new business awards in 2025. Of the total awards, 74% of the new awards were related to the value-add innovation we have introduced into the market. Products like FlexiCore and Flush Seal in our Sealing segment and our portfolio of low-permeation tubes and quick connects in the Fluid segment are delivering value for our customers and driving new business wins.
Roger Hendriksen: Similarly,
Jeffrey S. Edwards: 74% of the new awards were related to battery electric or hybrid vehicle platforms, which is an indication of how closely our product offerings and innovations are strategically aligned with the fastest-growing segments of the market. Finally, consistent with our China strategy, we just discussed 51% of the net new business awards were with Chinese OEMs. We are certainly proud to be the supplier that our customers turn to for quality components, consistency of delivery, and collaboration on critical design and development of new technologies. And now we are also the supplier continuing to support for their global expansion goals. Further, we expect some of our latest innovations such as our EcoFlow switch pump and our integrated coolant flow manifold, which we are currently marketing to our customers in China, will drive even more business wins in 2026. So far, we are off to a strong start of the year with several new awards already in hand, and we expect to keep the momentum going throughout this year. Turning to Slide 19. Our world-class service, technology, and innovations continue to allow us to partner with customers on some of their most important high-profile vehicle platforms. On this slide, we show our top 10 platforms for 2026 based on expected revenue. These 10 programs represent approximately 45% of our planned revenue for the year based on current production volume estimates and an expected average content per vehicle of approximately $190. Importantly, seven of these 10 platforms offer multiple powertrain options, which allows for flexibility and reduces risks related to fluctuations in production volumes driven by trends in consumer preference or changing regulatory environment. Let us go to Slide 20. To conclude this morning, let me provide a little color on the guidance we published in our press release yesterday afternoon and also provide a few comments on our longer-term financial outlook. Our expectations for 2026 are for increased profitability and for further margin expansion. Leveraging an increase in sales of around 3% based on the most recent industry production outlook, we expect continuing launches of new higher-margin business will be a positive driver again during the year. We are confident that the combination of increasing operating efficiencies and the ramp up of higher-margin business will enable us to hit our near-term strategic target of double-digit EBITDA margin for the full year in 2026, with the first quarter likely to be the weakest in terms of margins and cash flow, but building steadily throughout the remaining three quarters of the year. Over the longer term, we continue to believe we are only at the beginning of an exciting period of growth and prosperity for Cooper-Standard Holdings Inc. The actions we have taken and the successes we have achieved over the past four years have clearly made us better and stronger. We believe we are better positioned than ever before to leverage future increases in production volume, although we believe we can continue to expand margins even in a flat or stable production environment. We are also better positioned to expand into high growth markets and partner with new dynamic customers who have aggressive growth plans around the world. And we are already doing that. We believe the benefits of these new and expanded relationships will become more evident in the coming years as those new programs launch. Based on current estimates for the global production volumes for 2026 to 2028, we believe the implied growth in our expanding margins will enable us to reduce our net leverage ratio to something in the range of two times or lower over that time frame. Additionally, we believe and are confident that we will triple the return on invested capital of our business by 2028. So you can see why we are excited about the opportunities and outlook in 2026 and for the next several years beyond that. I want to again thank our employees for their hard work and commitment to helping make Cooper-Standard Holdings Inc. a premier automotive supplier and the first choice of all of our stakeholders. I also want to thank our customers around the world for their continued trust and partnership. This concludes our prepared comments.
Roger Hendriksen: Kenny, can we open it up for Q&A, please?
Operator: Yes. Thank you, ladies and gentlemen. We will now begin the question and answer session. If you have a question, please press the star followed by the one. Should you wish to cancel your request, please press the star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. Once again, that is star one should you wish to ask a question. Your first question is from Kirk Ludtke from Imperial Capital. Line is now open.
Roger Hendriksen: Hello, Jeff, John, Roger. Appreciate the call.
Jeffrey S. Edwards: Hey, Kirk. Hi, Kirk. On Slide 20, the guide, the bridge to the
Kirk Ludtke: $280 million of adjusted EBITDA, is there lean as the big contributor there? Are there any significant initiatives worth mentioning that is included in that $90 million, or is it more or less business as usual?
Jeffrey S. Edwards: More the latter, Kirk. This is John. It is business as usual for the team. They do this very, very well as Jeff positioned at the beginning of this call. As far as continuous improvement, whether it is in the manufacturing side of the business or the purchasing supply chain side, and as you can see from this bridge, they are signed up for considerable commitment again this year. But nothing in and of itself is unusual within that $90 million.
Kirk Ludtke: Okay. Thank you. And then volume mix and price, are the new products, EcoFlow, etc., are they included in that $10 million?
Jeffrey S. Edwards: This is Jeff, Kirk. Everything that I talked about on the call today related to that net new business number that we have just booked last year in 2025, and obviously what we did in 2023 and 2024 that is in launch or already launched, it would be all inclusive. And to your comment about the teams and lean, just to give you an idea of our confidence in that $90 million, as we head into 2026, we have already identified well above 90% of all of that. And that is the highest number in a decade in terms of already identified and being worked on. So the confidence level of the team executing that is very high. A lot of work gets done months in advance each year, and that list is very good and certainly is being managed on a daily basis by the two presidents of those businesses.
Kirk Ludtke: Got it. Thank you. It is very helpful. And then on the volume mix bar, that includes the new products. It includes the shift to hybrids, all of those trends you have talked about?
Jeffrey S. Edwards: It does.
Kirk Ludtke: Okay.
Jeffrey S. Edwards: And obviously, as we put together our three-year business plan, as you know, 2026, 2027, and 2028, we have just completed it. So all of the business, the new business, for 2026 is already being produced in our factories. For 2027 and 2028, the booked business there exceeds 95% already. So it makes it pretty easy for us to forecast what is coming out and what is going in and what those margins are, and that really drives the
Kirk Ludtke: level of
Jeffrey S. Edwards: clarity and transparency around our three-year plan for our business. So it is clear what we are going to do in 2026, 2027, and 2028. Of course, the issue that always is is what is the volume and mix going to be. Otherwise, we are pretty predictable in terms of what we are going to deliver.
Kirk Ludtke: Got it. Okay. I appreciate it. And then with respect, I know you are probably limited as to what you can say about this, but with respect to the F Series, is that back to normal as far as you are concerned?
Jeffrey S. Edwards: Hey, Kirk. It is John again. We are reading the kind of the same news you are and based on the releases, some volumes are coming back online. You are right. We will not get into too much detail or speak on behalf of our major customer. But we are seeing production continue to ramp up and the releases are holding there.
Kirk Ludtke: Okay. So that could continue to be a drag in the first part of the year.
Jeffrey S. Edwards: This is Jeff, Kirk. I do not know that is going to be a drag. I think it is moving in the direction that we have predicted. And I think the customers predicted. So I would just leave it at that.
Kirk Ludtke: Okay. I appreciate it. Thank you, and good luck. Okay.
Jeffrey S. Edwards: Thanks, Kirk. Thanks, Kirk.
Operator: Thank you. Your next question is from Michael Patrick Ward from Citigroup. Your line is open.
Jeffrey S. Edwards: Hi, Mike. Jeff, maybe another way around the F Series discussion.
Michael Patrick Ward: What are you seeing with your
Jeffrey S. Edwards: schedules from the manufacturers? Does that differ from what we are seeing like with IHS?
Michael Patrick Ward: It sounds like the first quarter is part of what you are looking at with your cadence of earnings, is relatively soft production. But I think most manufacturers are talking about acceleration in the second half. And is that what you are seeing, particularly at some of those key models?
Jeffrey S. Edwards: Yeah. I saw the transcript like you did, in terms of what the customer was predicting for 2026 in terms of F Series production. The 150,000 units over and above 2025 that was just discussed publicly. I will tell you that that would represent probably 60,000 units above what we have in our plan, Mike. Now the question becomes when those are going to be built, produced. There is additional shift that was talked about. There was line speed that was talked about. So I do not have any insight into that. As our releases get adjusted accordingly, then that will reflect. But I can tell you that there is potential increase of 60,000 units if those 150,000 increase year over year happen. It is not a secret. Our content per vehicle is $450 on those vehicles, so we can do the math.
Michael Patrick Ward: Yeah. It is a big number. It is, yeah. I think Ford is in the same boat you are. I think they are just in all fairness to Ford and to you, I think they managed the situation better than expected in April. And I
Roger Hendriksen: think that they are still trying to figure out
Michael Patrick Ward: on the supply side and the cost benefit and everything else. But inventory is in great shape. Right? So right now, schedules are sticking from what you have seen. Is that correct?
Jeffrey S. Edwards: That is what we have seen. Yes. That is what we have seen. We are cautiously optimistic. How about that?
Roger Hendriksen: Yeah.
Michael Patrick Ward: The
Ben Griggs: Magna this morning reported that it got a pretty good lump sum of cash for some of the BEV stuff. How do you expect to see it? Lump sum, piece price, all of the above? Have you seen any big cash contribution yet or lump sum cash inflow yet, or do you expect one in 2026?
Jeffrey S. Edwards: Yes and yes. So we finished some negotiations in 2025. And those are behind us. And we have got others that we are expecting to go through in 2026. And it seems that most are talking lump sums, Mike. That is my
Ben Griggs: Interesting.
Jeffrey S. Edwards: That is my view as I sit here today anyway.
Ben Griggs: Yep. That is good news. That is different than in the past. John, is there any sense of urgency to get the refi done before the March when you become current?
Jeffrey S. Edwards: Mike, what I have talked about in the past is we certainly would prefer to get something done prior to the first lien and third lien notes coming current. Those milestones are May and March, respectively. So you think about it in that kind of time frame. Certainly, we do not want to have that added pressure of the notes coming current.
Ben Griggs: Well, good luck. It sounds like it is getting tight. So thank you. Thank you very much.
Michael Patrick Ward: Alright. Thanks, Mike.
Operator: Thank you. Your next question is from Nathan Jones from Stifel.
Jeffrey S. Edwards: Good morning, Nathan.
Nathan Jones: I guess I will start with some questions around the net new business wins. Obviously, very strong in 2025 again, on the back of some good net new business wins in 2023 and 2024. You talk about what is in the 2026 guide from net new business wins in 2023 and 2024, and how we should think about those layering in over the next few years?
Jeffrey S. Edwards: Yeah, Nathan. This is Jeff. So I can tell you that the $300 million that we booked in 2025 that we just discussed
Ben Griggs: this morning
Jeffrey S. Edwards: those typically take a couple years, call it between two and three years on average, to roll into the portfolio. The $400-plus million that we expect to book in 2026 will be similar. Now keep in mind that 51% of that net new business was China, and it is a lot faster to the market than is traditionally seen by our other customers. So I would just temper it by saying that. It could be faster. It will be faster related to the China portion than the rest. So we are very positive about what has happened in 2023, 2024, and 2025. Obviously, the margin expansion, our ability to execute those launches, it is really showing up in our financials. And I expect based on all the new business that we just booked in 2025 and our targeted business for 2026 across both Fluids and Sealing will continue to drive the type of margin expansion that we have talked about in our longer-term strategy numbers for 2030.
Ben Griggs: I guess given the
Nathan Jones: net new business wins from 2023 and 2024, depending on how long they take to start reading into revenue, maybe potential for Ford to catch up some production this year. The revenue guidance looks maybe a little bit lower than we were expecting, and I think some of the other folks that cover you were expecting for 2026. Can you talk about what some of the offsets may be after that? You should have some tailwinds from FX. Is the bottom end of that range really a bit conservative? Just any further color you could give us on that.
Jeffrey S. Edwards: Well, we stick with the S&P numbers for the market, Nathan. So I will read you what the slide says. North America, we were at 15.3 in 2025, we are going to 15.0 in
Roger Hendriksen: 2026.
Jeffrey S. Edwards: Europe at 17.0 in 2025, we are going to 16.9 in 2026. China is down from 33 to 32. South America is up from 3.0 to 3.2. So the fact that we are generating the additional revenue year over year that we are with the down volume that is being predicted by the people that predict, it is actually a pretty amazing story from a margin expansion, and that is what we tried to show you on the slides that we walked through today. And if you look at the midpoint, 2.8% on top line, up significantly over what we just finished 2025 on a down market, EBITDA from $210 million to $280 million on a down market. Sounds pretty good to me. But obviously, if we get more volume than what is being predicted by S&P towards the end of last year, then these numbers are going to be a lot better. So anyway, I guess time will tell.
Nathan Jones: Yeah. The EBITDA growth is great. Maybe
Jeffrey S. Edwards: just the last one on free cash flow.
Nathan Jones: It has come down a little bit from 2023 to 2024 and 2024 to 2025. I know you said you expect it to be positive again in 2026. Any more color you can give us on an expectation of around where you expect free cash flow to come in or what kind of conversion of EBITDA or something like that, which
Ben Griggs: think about as we are thinking about free cash flow. And thanks for taking the questions.
Jeffrey S. Edwards: Yeah, Nathan, thank you. It is John again. We give you a lot of the main components of our free cash flow build on the guidance table. So you can see from last year to this year, we are going to invest more in capital expenditures, certainly, about $15 million or so at the midpoint. We do expect cash taxes to go up based on increasing profitability around the world. So that will be a drain on free cash flow as well. But then with the new business that we have just been discussing, there is an element of getting ready to launch new programs. So we see investments in tooling to support net new business wins. With the global perspective on this, some of those get recovered right around the time the tools are approved for production. Others are amortized over the life of the program. So we are seeing some balance sheet tie-up of working capital for some of those amortized programs when you think about tooling. And then with the typical build in revenue, you do have an increase in working capital as well. If sales are up $60 to $100 million or so, you will see more accounts receivable building by the end of the year than you have got today. You typically need to have a little bit more in the inventory throughout the cycle. We do a good job of bringing it down at year-end. But with a higher revenue base, you expect some working capital tie-up overall. So that is why you will see the year-over-year comp on cash flow being generally what it is on the page.
Ben Griggs: Great. Thanks for taking the questions.
Jeffrey S. Edwards: Okay. Thanks, Nathan.
Operator: Thank you. Once again, please press star one. And your next question is from Brian DiRubbio from Baird. Your line is now open.
Ben Griggs: Good morning, gentlemen. Just a couple of cleanup questions. Jeff, I want to make sure I heard this right. You said today, 36% of your revenues
Jeffrey S. Edwards: are from Chinese OEMs, and you want to get that to 60% of total revenues
Ben Griggs: in the next five years?
Jeffrey S. Edwards: What we were talking about was the shift from Western OEM business to the Chinese OEM business. And so our focus over the course of the next three years will be to increase the percentage of our Chinese OEM business in China to that number.
Ben Griggs: That is what we are talking about.
Jeffrey S. Edwards: Okay. So it is not a total revenue number. It is just within your Asia Pacific revenues
Ben Griggs: that is going to move from 36 to about 60? Fair?
Jeffrey S. Edwards: That is correct, Brian. Obviously, the Western OEMs have all announced significant volume reductions. The Chinese OEMs have announced significant volume increases. As that portfolio
Ben Griggs: shifts
Jeffrey S. Edwards: that is what we are booking, and so that is why, and I wanted to make sure you understood, the 51% of our net new business that we booked in 2025 was exactly that. So to add to the credibility of that transformation. Back five years ago, Brian, I think we had 90% Western OEM business and 10% Chinese OEM business. And we have transitioned all of that to what I just said. So it has really been a tremendous effort by the teams there to adjust to the market and to win new business profitably, and to get our innovation into that market in a way that is being valued not only for the locally produced vehicles, but also those vehicles that are being exported around the world, especially to Europe, has our parts on it. So we are very excited about that. We still have some open capacity in China that we will fill up over the course of the next couple years. So that is why I also mentioned that the return on invested capital kicker that we get from launching all that new China business with very little investment also is helping to put the numbers in front of you that we have for 2026 through 2030 in other conversations.
Ben Griggs: Got it. So is that, I think it is just your total mix between Chinese OEs and U.S. And again, just trying to get a sense of the mix shift of your business over the last couple of years. It is really just looking at 36% of just
Jeffrey S. Edwards: that general Asia Pac bucket is China and the rest would be Western OEMs.
Ben Griggs: Correct.
Jeffrey S. Edwards: Okay.
Ben Griggs: Great. And just want to stick on China just for one more question.
Jeffrey S. Edwards: You know, what contract protections do you have with those Chinese customers in terms of your products staying on that platform for a number of years, both either just for production perspective and, obviously, what IP protections do you guys have in China?
Jeffrey S. Edwards: Yeah. We have been at this for a couple decades now. And so I think we have built the type of relationships that make us believe that we can make decisions with those particular partners. And I do not mean all 130, but the ones that we have chosen to do business with, we trust, and they trust us.
Ben Griggs: We have,
Jeffrey S. Edwards: we have promised that we would put innovation into the product in China. We have. We have had zero incidents of any issues with intellectual property. And we will continue to, like everybody, trust that if we find an issue, we will work it out. But it has not been a problem to date. And as I said, our product is really critical to the overall consumer satisfaction level, Brian. Our Sealing business: you drive your car through the car wash, you better not get wet. Our Fluid business: you park it in your garage or in your driveway, there better not be a spot underneath there. So it is really a big deal to the Chinese OEMs that that level of performance is there day one. They are not willing to take risks as they export and build brand loyalty around the world. They want those products to be world-class quality and of the highest level that we can engineer them. So that is the bond. That is the relationship. That is why our products are working, and that is why the relationship has never been stronger and why we are convinced between now and 2030 that we will continue to grow at a very high rate with fantastic margins. We have earned that, and we are delivering that. And the customers trust us.
Ben Griggs: Got it. And just final question for me, as we think about the guidance for 2026, what of the various variables you can think about—raw materials, production schedules, so on and so forth—would have the biggest impact, positive or negative,
Ben Griggs: on your guide?
Jeffrey S. Edwards: Yes. I guess this is Jeff. I would tell you that volume and mix is always number one answer to that question. We have done a very good job with our
Ben Griggs: contracts.
Jeffrey S. Edwards: And the ability to index if there are raw material fluctuations. So those days are behind us in terms of having volatility really associated with raw material fluctuations. So that for Cooper-Standard Holdings Inc. is not such a big deal. I would say this year, like last year, there is still some question around
Ben Griggs: tariffs.
Jeffrey S. Edwards: That is more for our Fluid business than it is for our Sealing business, Brian, but that is probably there on the list as something we will have to work our way through. Sounds like midyear again, but who really knows?
Ben Griggs: That is how I would answer the question.
Jeffrey S. Edwards: Appreciate all the color. Thank you so much.
Ben Griggs: Okay. Can you see there are no more
Operator: Yes. It appears that there are no more questions. I would now like to turn the call back over to Roger Hendriksen.
Roger Hendriksen: Thanks, Jenny, and thanks to all who participated this morning. We appreciate your time and your continued interest. If there were questions that did not get asked or you wanted to have some follow-up conversations, please feel free to reach out to me directly, and we will make sure that that can happen. This concludes our call. Thank you very much.
Operator: Thank you, ladies and gentlemen. The conference has now ended. Thank you all for joining. You may all disconnect your lines.